Operator: Good afternoon, ladies and gentlemen, and welcome to the presentation of BNP Paribas' First Quarter 2018 Results. For your information, this call is being recorded. Supporting slides are available on BNP Paribas' IR website, invest.bnpparibas.com. [Operator Instructions] I would now like to hand the call over to Lars Machenil, Group Chief Financial Officer. Please go ahead, sir.
Lars Machenil: Thank you. Good afternoon, fine ladies, gentlemen, and welcome to BNP Paribas' Q1 2018 Results presentation. I hope you've all got a copy of the presentation in front of you because, in my usual way, I'll take you through the first 2 chapters and then hand it over to you for Q&A. So starting with our key messages on Slide 3. You'll see that business activity continued to progress well in the context of economic growth across Europe. This was illustrated by the group's 2.7% growth in loan outstandings compared to the first quarter a year ago. When we turn to revenues of the operating divisions, they were 1.4% lower on the back of a negative forex effect, especially due to the U.S. dollar depreciation over the period and the less favorable market context for fixed income activities in Europe, again, compared to the first quarter 2017. Nevertheless, the economic pickup saw Retail Banking & Services divisions grow its revenues by 2% year-on-year. If we turn to costs of these operating divisions, they were 1% higher but stable net of the impact of the increased annual taxes and levies that you know are fully accounted in the first quarter, and this, per IFRIC 21. The cost of risk at group level was still at a low level, equivalent to 32 basis points over outstanding, which is essentially in line with what we saw in the first quarter of 2017. The group's net result clocked in at a solid EUR 1.6 billion, just 3.8% lower than the same quarter a year ago, and this net of exceptional items and the impact of the annual taxes and levies. I'll also draw your attention to the drop in corporate income tax. It stands at 27%, which is a structural drop of 2 percentage points, and this on the back of the decreases that have been noticed both in the U.S. and in Belgium. So these solid results of EUR 1.6 billion are in line with the trajectory of our 2020 business plan. I remind you that in that 2020 horizon, we have an ROE objective above 10%, which, if the current outlooks materialize, will be closer to 10.5%. So having just mentioned these exceptional elements of the quarter, I would like to kindly ask you to advance to Slide 5, where you can see that they were moderately negative this quarter, whereas they had been moderately positive a year ago. In fact, after tax, they impacted the first quarter 2018 results to the tune of minus EUR 56 million versus a positive impact of EUR 76 million the year before. So if we now pick the next slide, which is #6, you can see the impact of the higher taxes and contributions accounted this quarter for the full year as per IFRIC 21. The total amount increased by a tad less than EUR 100 million compared to last year, from EUR 1 billion to EUR 1.1 billion. For your guide, on a yearly basis, the increase should be limited to EUR 47 million, as EUR 33 million were booked in the second quarter of 2017 and are now crystallized in the first quarter. As a reminder, these taxes included in particular the EUR 572 million contribution to the Single Resolution Fund, which stood at EUR 469 million a year ago. If you now can swipe to the next one, #7, you can see the performance of the group and of the operating divisions in the first quarter. I draw your attention to the fact that pretax income of the operating divisions excluding this IFRIC 21 was minus 3.6%, which is in line with the minus 3.8% of net income excluding exceptional items and these taxes. So net income held up well and equated to an annual return on equity of 10.2% excluding exceptional items or 11.9% in return on tangible equity. If we now zoom on the revenues of the operating divisions, and for this, let's turn to Slide 8. You can see that they were impacted by negative forex effect that I mentioned. They were up at Domestic Markets on the back of good business development, which was partly offset by the low rate environment this quarter. They marked a good increase at International Financial Services, driven by the development of the businesses, and this both in an organic and in a bolt-on way. But on CIB, they were down 9.8% on the back of the lackluster market context, particularly in FIC in Europe, and this, again, compared to the first quarter 2017. Now if we continue flicking and go to Page 9, you'll see what I mentioned. These costs of our operating cost -- operating divisions are stable excluding the impact of IFRIC 21. In Domestic Markets, costs were down 0.3% on average in our retail networks, but they were up in the specialized businesses on the back of their continued business development. International Financial Services' cost evolution reflected business growth while CIB costs marked a strong decrease, benefiting from the cost-savings measures we've been implementing. If we remain on costs and if you could just swipe to Slide 10, you'll see the good progress we're making in the implementation of our program of new customer experience, digital transformation and savings across the group, so the 3 axis of our 2020 plan. By the end of March, we've generated a little over EUR 700 million in cumulative savings. In the first quarter, they amounted to EUR 175 million and were fairly evenly split among the 3 operating divisions. I will remind you that we're targeting EUR 1.1 billion of cumulative cost savings by the end of the year. And transformation costs stood at just over EUR 200 million in the first quarter, bearing in mind our expectations of EUR 1.1 billion for the full year 2018. So as you can see, we're actively implementing our 2020 transformation plan. If you now shift to the next line on the P&L, namely the cost of risk, and I would kindly ask you to flick through the 3 specific slides on the topic, which start at Page 11. You can see that the group cost of risk remained at a low level. Taking the businesses one at a time. We see that in Corporate Banking, provisions were offset by write-backs this quarter but to a lesser extent than in the first quarter of 2017. Cost of risk was low in French retail, very low in Belgian retail and continue to decrease at BNL in Italy. And other retail businesses, like Personal Finance, saw a low cost of risk. Europe-Med's cost of risk was stable at a moderate level while BancWest was still at a low level. Turning now to Slide 14, which reflects our very solid financial structure where you can see that our common equity Tier 1 ratio stands at 11.6%. As we already said, on January 1, the ratio reflected, amongst others, the introduction of IFRS 9, as such, starting the year at 11.6%. And as every quarter, the CET1 ratio increases by the net income generated after, of course, allowing for a dividend of 50%. And in Q1, given the impact of IFRIC 21 taxes, this effect is basically offset by higher risk-weighted assets net of forex, and this, in connection with the good business activity that I mentioned before. On the other ratios, we have the leverage ratio which stood at 4.1%, and our liquidity coverage ratio stood at 120%. So all that is doing fine. On that liquidity coverage ratio, you know we also express it in the immediately available liquidity reserve, which totaled a whopping EUR 321 billion at the end of March, half of which is deposited at the central banks. If we now turn to Slide 15, where we see that the net book value per share stood at EUR 73.60 at the end of the first quarter compared to a pro forma of EUR 73.10 at the beginning of the year. I remind you this pro forma to reflect the impact of IFRS 9, as we already said. As you know, this is purely an accounting change, and it doesn't alter the actual value of the bank nor its profit-generation capacity going forward. If we synthesize and if we look since 2008, the net book value per share has been growing at a compounded annual growth rate, CAGR, of 5.3%, clearly illustrating the continued value creation through the cycle. I leave you to peruse the next 2 slides of this introductory part, on -- which covers our ambitious CSR policy, illustrating, for example, our strong support to the carbon neutrality and also a slide on our reinforced internal control system, and would now kindly ask you to advance to the results by division. And we start with Domestic Markets on Slide 19. As you can see, Domestic Markets confirmed good business drive in the first quarter on the back of robust economic growth in the Eurozone. In particular, we continued to see good loan growth in the retail networks as well as in the specialized businesses. This combined with an increase in deposits across all geographies. Taking to Private Banking. It showed a good net inflow in the quarter, and Hello bank! attracted 110,000 new clients in the first 3 months of the year, up 15% compared to the first quarter last year. Domestic Markets is progressively developing new client experiences and pursuing digital transformations. And particularly, it is speeding up clients' use of mobile banking services by releasing new features in mobile payment systems, for example. And to illustrate, there is -- client acquisition through digital channels now accounts for roughly 1/3 of new customers and active mobile users are up 21% compared to last year, so well on track. Now when we turn to the P&L, revenues were 0.4% higher at close to EUR 4 billion. As mentioned, we saw good business drive in our domestic market. And as I mentioned, the loan growth, for example, is up 5% in Belgium, 7% up in France. But as expected, we continue to be impacted this quarter by the low interest rate environment. If we now turn to the operating cost in Domestic Markets. They were a bit higher due to the already mentioned IFRIC 21. But if we look at really the retail networks and we exclude this IFRIC 21 impact, we see that the costs were actually down 0.3% on average while they were higher in the specialized businesses, and this on the back of their continued development. As you know, we are, of course, continuing to simplify and optimize our branch networks. For example, in France, the delayering of the regional management setup is being implemented this year, and this along the lines of what has already been done at BNL in Italy and BNP Paribas Fortis in Belgium. This well-shortened decision-making process improved operating efficiency and reduced, as a consequence, the cost base. Now if we look at the cost of risk, which is reducing, particularly at BNL. Pretax income reached EUR 658 million, marking just a 1.5% reduction excluding the IFRIC 21 impact. If we look a little bit zooming in on the countries of -- in Domestic Markets, what can we mention? For French retail, we showed a good income resilience on the back of good business drive. And particularly, the good news is that the renegotiations and early repayments confirmed their sharp decline since June 2017. Of course, it weighs on this first quarter as we get less renegotiation and early repayment penalties but means that the revenue evolution should improve in the second part of the year. When we go to Italy, BNL bc's revenues were down, however, with a gradual improvement in business activity and a sharp rise in income, thanks to the continued cost of risk reduction. If we go to Belgium, the Belgian retail continued to show good business drive, offset, of course, by the impact of the low rate environment this quarter. Finally, the specialized businesses continued to deliver strong business drive. To wrap up for Domestic Markets slide, revenue increased on the back of good business drive despite the headwinds of the low rate environment. If we now take the other part of our retail activity, namely International Financial Services, and you advance to Slide 25, where we can see that this division remains a very strong engine of growth. In particular, you can see on Page 25 that loans progressed well at Personal Finance and in our International Retail Banking. Our Insurance and savings business showed good asset inflows, and the operating divisions actively implemented their digital transformation as well as new technologies, and this across all the businesses. If we look at the P&L, the revenues topped EUR 4 billion, up 3.8% compared to the first quarter 2017 and actually 5.5% higher at constant scope and exchange rate, with a rise in all businesses. All of the divisions, of course, we mentioned it before, were affected by an unfavorable forex effect this quarter, in particular the strengthening of the euro. When we turn to costs, they evolved at roughly the same pace as revenues as a result of business development, leading to a 3.4% increase in the gross operating income or a 6.2% when we look at constant scope and exchange rate and then IFRIC 21. If we look at the other element, the cost of risk, it was EUR 50 million higher than in the first quarter 2017 but still at a low level. As a result, International Financial Services pretax income came close to EUR 1.3 billion, up 4.8% and reflecting the continued profitable growth of the division. If we now, again, zoom on several of the businesses into International Financial Services and you flick to Slide 26, where we have Personal Finance, which continued to show good business drive in the first quarter. Outstanding loans were up 12% on a comparable basis, thanks to high demand across Europe on the back of favorable economic context and the positive effect of the new partnerships. The business also continued to implement successfully the integration of the General Motors Europe financing business acquired, I remind you, last year. And it also continued to expand in digital footprint and new technologies, resulting in 72% of contracts already signed electronically in its main 3 markets: France, Italy, Spain. If we turn to the P&L, revenues progressed by nearly 13% with higher volumes, so in connection with the higher volumes and the position on better risk products. Costs grew at roughly the same pace as revenues or 4.9% on a comparable basis, and this as a result of the good business development. Cost of risk was at a low level, and pretax income reached EUR 373 million, up 5.5% compared to last year. To recap, in a favorable context across Europe, Personal Finance continued to show good business development and strong income growth. If we now move to another part, which is International Retail Banking, and there, let's look at Europe-Med on Page 27, where businesses activity continued to progress well as well as deposits in all regions. Last month, on this topic, we announced the acquisition in Poland of the core banking operation of our Raiffeisen Bank Polska. This will boost our market share to more than 6% in terms of loans and deposits, reinforcing our #6 ranking in Poland. This bolt-on acquisition is expected to have a positive impact of plus 1% on the group's net EPS in 2020, which implies EUR 100 million of additional net income in 2020. Looking in more detail at the P&L. We see that, at constant scope and exchange rates, revenues were up 7% on the back of this strong volume growth. Costs increased as a result of the good business development but at a lesser pace than revenues. And so overall, cost of risk was essentially stable in Europe-Med, and therefore, pretax income was up 17.6% in the first quarter on a comparable basis. If we now take a plane and fly over to the U.S., California, and we go to Slide 28, where we see that BancWest confirmed good business drive in the first quarter, but, in euro terms, was, of course, impacted by a 13% year-on-year depreciation of the U.S. dollar. So therefore, if we look at constant scope and exchange rates, loans were up 4.2% while deposits increased by 9%. The assets under management of our Private Banking marked a further progress of 11.6% to clock in just above EUR 13 billion. On the digital front, BancWest opened some 8,000 accounts online in the first quarter, and this is twice the number of the previous year and representing over 20% of total accounts opening over the period. If we continue to look at the P&L at constant scope and exchange rate, revenues were up 3.5% on the back of the volume growth I mentioned. Costs were kept well under control, and BancWest generated a positive 1.8 points of jaws effect. On the whole, given an essentially stable cost of risk at a very low level, BancWest's pretax income increased by close to 9% on a comparable basis. Given the unfavorable forex effect I mentioned, it was minus 8.5% at historical scope and exchange rates. So in a nutshell, good business drive and solid operating performance for BancWest but an unfavorable forex effect. If you could now kindly swipe to Page 29, where we look at our Insurance and savings business, which saw assets under management stable versus year-end 2017 at EUR 1,051,000,000,000 at the end of March. Assets under management were positively impacted by good net asset inflows in all the businesses, which were, however, offset by negative performance and forex effects. If we now focus, first, on insurance on Slide 30, which continued to show good business development both in terms of saving and protection insurance, we saw good growth in France and also internationally while net assets inflow into unit-linked policies marked a further significant increase. The business continued its partnerships initiatives as, for example, in Japan, where we are about to launch new insurance products together with the SuMiTrust network; and in France, where, jointly with Matmut, we are launching, this month, car and home insurance products. In terms of results, Insurance revenues were 10.8% higher due to this good business development. Cost evolution reflected also this continued development of the business. And including a good performance of the associated companies, pretax income marked 13% increase to clock in at EUR 369 million. If we now move to the last part in IFS, which is Wealth and Asset Management, which you can see on Slide 31, it also showed good business activity in all businesses. In particular, I'll remind you that Wealth Management announced the acquisition of ABN AMRO Luxembourg Asset Management and continued its digital transformation using, for the first time, the blockchain technology. And retail -- or sorry, real estate confirmed significant business growth, particularly in Germany, where it's a leading property service provider. When we look now at the P&L, Wealth and Asset Management revenues progressed by 2.8%, and this despite lower capital gains in Asset Management compared to a year ago. Costs increased on the back of the development of the businesses and were impacted by some specific projects in Asset Management and buy costs related to, I remind you, the acquisition of Strutt & Parker in the U.K. Net of these, they were up 4.8% on last year. When we look at the cost of risk, it was, in this kind of activity, normal and negligible, but I remind you, in Q1 last year had benefited from a net write-back of EUR 14 million. So as a result, pretax income stood at EUR 187 million, down 13.9% compared to a year ago. Globally, continued good business development for the business lines of Wealth and Asset Management. So with this, we turn to the last part of our divisions, and that's on Page 32, where we look at Corporate and Institutional Banking, which faced a less favorable market context in Europe, particularly for FIC, and compared -- this, of course, compared to the first quarter last year, which had seen strong client volumes. However, the division continued to successfully develop its business activity and deliver on its 2020 development plans, as such, grabbing market share and delivering a pretax return on equity above 18%. Revenues stood at EUR 2.9 billion, down 9.8% compared to the high comparison base I talked about a year ago and also being impacted by a negative forex impact of almost 3 points in that reduction. Total CIB costs were 4.7% lower versus a year ago and 7.2% lower excluding the impact of IFRIC 21. And of course, they benefited from the cost-efficiency measures that we've been implementing in the CIB division since 2016 and that have already generated EUR 297 million of recurring savings. CIB, of course, continues to be proactive in this area with the automation currently underway of some 200 processes and the implementation of 3 so-called end-to-end projects. And this is on credit processes, forex cash and client onboarding. The last part for the CIB P&L is the cost of risk, a marked net write-back this quarter as in the first quarter 2017, but to a lesser extent. So overall, CIB generated EUR 558 million of pretax income, marking a 15% reduction excluding the impact of IFRIC 21 and as compared to first quarter 2017 that had benefited from favorable context for FIC activities, particularly in Europe. If we now turn to the next 3 slides, 33 to 35, let's peruse a bit more in detail each of the 3 businesses in our Corporate and Institutional Banking. If we start on Page 23 with Global Markets, whose revenues were down 14.6% as the pickup in volatility seen from the end of January resulted in a wait-and-see stance by European fixed income clients, however, also, with an increase in volumes in equity and prime services. If we look at FIC revenues, they were actually down by 31% compared to a very high base a year ago, which, I remind you, had strong client volumes in Europe. We confirmed our strong positions on bond issuance, and we ranked #2 for all bonds issues in Europe and #8 for all international bonds. If we now turn to the other aspect, namely equities, and we look at their revenues, on the other hand, they showed strong growth of 19.3%, and this on the back of higher client volumes in equity derivatives. If we now look to the second part of Corporate and Institutional Banking on Page 34, and that is Corporate Banking. Revenues there were impacted by an adverse forex effect for 5.7 points. And so they were down by 8.8%, but, as I said, 2/3 of that on the back of this adverse forex effect. And I also remind you that the first quarter of 2017 included a high level of fees due to several deals that were closed that quarter. Corporate Banking revenues, if we look at areas, were lower in the Americas due to this forex effect but also due to the decision to stop financing nonconventional oil and gas. They were slightly lower in Europe, and they increased in Asia Pacific. When we look at transaction banking, they showed a good performance in Europe and in Asia. In particular, we strengthened our client positions on large corporates in Europe, where the penetration rate and cash management reached 41% and that of Corporate Banking arrived at 65%, according to the latest Greenwich survey. To round up this Corporate Banking, let me add that the deal pipeline is quite good, with several significant mandates that should be executed in the coming months. So if now -- to close off Corporate and Institutional Banking, if we look at Slide 35 with Securities Services revenues, which progressed by 5.7% on the back of good growth in assets under custody and under administration. Securities Services continued to gain significant new mandates as, for instance, with international capital -- intermediate, sorry, Intermediate Capital Group, and finalized its strategic partnership with Janus Henderson in the U.S. with $138 billion of assets under custody. In the first quarter, the business line also announced the acquisition of depository banking businesses of Banco BPM in Italy. Moreover, Securities Services continued to develop joint offers in cooperation with Global Markets in areas such as execution and netting of derivatives and in collateral management. So wrapping up, Corporate and Institutional Banking was impacted this quarter by a negative forex impact and by an adverse comparison base in FIC, which suffered from limited client demand in Europe in 2018, whereas it had been particularly good in Europe the year before. However, the division is continuing to successfully develop its business activity, strengthening market positions and with a good pipeline of deals for the rest of the year and, as I said, operating at a pretax return on equity above 18%. So this, ladies and gentlemen, concludes my introductory remarks for the group's first quarter 2018. As a takeaway, I would like you to retain that the group saw good business growth in the context of robust economic evolution across Europe, and we continued to strengthen our commercial positions. We also delivered a solid net income of EUR 1.6 billion despite the adverse forex effect and the lackluster market context for fixed income in Europe. Thirdly, we are continuing to roll out new customer experiences, and we're implementing digital transformation throughout the group. And lastly, these results are in line with the trajectory of the 2020 plan and the achievement of its targets. Finally, ladies and gentlemen, I thank you for your kind attention. And I'll now be free to take your questions.
Operator: [Operator Instructions] Our first question is from the line of Jacques-Henri Gaulard of Kepler Cheuvreux.
Jacques-Henri Gaulard: Two questions, please. You've done quite well in equities versus peers. And effectively, the question was how do you find the markets? And do you find people retrenching? Have you gained market share severely there? So a little bit of color on your equities performance would be good. And the second question, interestingly, going through your slides, you've been through quite a lot of bolt-on acquisition now, which obviously is good because the quality of the name you bought is effectively a good one. I looked back at your plan. I realized that the free cash flow was 15% of the RWA, if I remember well. So that would be about EUR 4.8 billion to EUR 5 billion of acquisition. How far are you towards your full plan of bolt-on acquisitions towards the end of the plan? Those are the 2 questions.
Lars Machenil: Jacques-Henri, thank you for your questions. If I take the first one on equities. It is true that the environment for equities was different than the one in fixed income. In fixed income, particularly in Europe, they remained -- people or the institutionals and the corporates were having a bit of a wait-and-see attitude. However, on equities, both -- on both sides of the Atlantic, there was a pickup in demand, and we basically served our clients into that. So that's on equities. When it comes to the redeployment of the free cash flow, let's be very fair, this is a thing -- I mean, there has to be opportunities. I cannot say how much exactly we will redeploy. We have -- if there is, for us, a bolt-on, it means that it has to be literally bolt-on-able, so it doesn't have to be too large. It has to be complementary with activities that we have. And so as long as that is possible, we will announce these things. So there is not much more to say on that.
Operator: Our next question is over to the line of Jean-Francois Neuez of Goldman Sachs.
Jean-Francois Neuez: I just wanted to ask firstly on the [Audio Gap]
Lars Machenil: Jean-Francois, can you repeat? We lost you a bit.
Jean-Francois Neuez: Yes. I just wanted to ask you about the fixed income performance. Can you hear me better now?
Lars Machenil: Yes, I can.
Jean-Francois Neuez: So over the year -- over the past few years, you had gained market share. And I understand that the environment was not necessarily all that great in the first quarter, but you've underperformed peers fairly materially for -- if you take the industry as a whole and in constant currency. It was also the case in Q4 after a run of good market share gains. And I just wanted to understand what has changed in the fixed income side. And obviously, that has driven a bit of delay in the implementation of -- or in, say, the achievement of your targets, at least if I take a linear path. And I just wondered whether you could give us a little bit of color as to what you embedded when you raised your ROE target. Did you take into account those tougher conditions? Or is this somewhat of a headwind for the achievement of your plan? And the second thing I wanted to ask was about the jaws in the retail part of the business, which obviously is tough to achieve right now. And I wanted to understand whether you -- whether the reduction of the cost is well implemented already or whether there is -- whether you have more to come here because the jaws in the Domestic Markets continued to be negative at this stage and stubbornly so, in a sense.
Lars Machenil: Jean-Francois, thank you for your questions. First of all, on fixed income, it's basically -- let me answer along 3 axis. The first one is, if you look at the results and evolution of BNP Paribas, you have to remember that we are focused, for a big chunk, on European activities, which -- when it comes to fixed income. And if you look at the evolutions when you say -- when you compare to peers, you really have to make a distinction between peers which are mainly active in the U.S. and peers which are mainly active in Europe because when there was indeed this pickup in volatility as of the end of January, beginning of February, there was intrinsically a different stance on both sides of the Atlantic. When you see the evolutions and the demands, we are really picking up on the U.S. side, and this is where you see some evolutions, which was not the case in Europe. And that is why you see a different evolution for those serving the clients on fixed income in Europe. That's the first thing. The second thing is, let's not forget that when we oriented ourselves -- when we made our plans for each of the divisions, we had a bit of a different orientation depending on which division. For example, our International Financial Services, which was having the appropriate level of returns, and therefore, we said growth is the main thing. When we looked at CIB, we said that growth would have to be accompanied by cost measures and by a reduction of capital employed. And so that is basically the key elements of what CIB has been doing, and that is what we see when we look at the pretax ROE of CIB, which is above 18%. So that is where the evolution of what is foreseen is really, as I said, on track with the overall plan. So that being on track is what I said. We are -- basically, the results that we have this quarter are in line with what we have in our trajectory reaching to 2020. So overall, if we look -- as I said, for CIB in general, if we look at the performance, let's not forget that, in 2017, BNP Paribas was also -- had performance which was higher compared to this. So this is a bit also an element which distorted. So overall, I repeat, the trajectory of the first quarter is truly in line with the trajectory [ ramping ] to 2020. And as I said, the 2020 ROE, we planned it to be above 10%. And if guidance remain on the evolutions of what we expect in GDP evolutions, what we expect in rates and what has been folded into tax, for example, we will be gravitating more towards 10.5% than to 10%. And when it comes to cost reductions on Domestic Markets, yes, of course, we are progressing with the things we have been doing for a while. We are optimizing our branch networks and the layers of management and support. But at the same time, let me remind you that the 3 axis of our 2020 plan are, of course, starting from customer journeys to changing -- evolving towards customer journeys that the customers really need, doing this through digitalization. And as a third consequence of all this, we will basically have further cost efficiency because you would distribute products or you get contact with customers via this more digitalized way. So this is the thing we are developing, and -- which will be further levers, as we announced, of the jaws effect. So that will be my answers, Jean-Francois.
Jean-Francois Neuez: To follow up, how is the business environment compared to that of Q1? If you described that as lackluster in Q1, how would that be now?
Lars Machenil: I invite you, Jean-Francois, to come back when -- well, second quarter because it's not -- what we do, however, observe, if you look at generic elements is that there is -- the volatility that we've seen has picked up a bit. But as I'd say, we have 1 month out of 3 months going. So I do invite you on August 1, when we will publish our second quarter results on this topic. And maybe the only complement -- I understood your question on the Global Markets side. The one complement is that on the Corporate Banking side, and maybe your question was on the Corporate Banking side, is, of course, the Corporate Banking in general, now that we are more moving into originate to distribute than other things, is a bit more volatile quarter-to-quarter. And so when we look at the pipeline for Corporate Banking, it is well filled, and so I would assume that several of those will crystallize in the second quarter. So those were the answers.
Operator: We now go to the line of Delphine Lee of JPMorgan.
Delphine Lee: Lars, so 2 quick ones. I mean, first of all, would it be possible to get a bit of color on your performance in equities by geographies and by business, if that's okay, just to understand a little bit where the strength is coming from, flow versus structure and geographies? And the second question is on costs. Do you -- could you remind us a little bit sort of now -- your targets for 2020 in terms of cost base was, I think, EUR 29.9 billion. But obviously, there's been some acquisitions and maybe other moving parts. So if you could maybe just give us a little bit of the contribution from Poland, for example, or anything else that has changed.
Lars Machenil: Delphine, thank you for your questions. Now on equities, if you want on sectors or on regions, so overall, we've performed well. If I would have to say, U.S. maybe a tad even more than Europe, and institutional maybe a tad more than retail. But overall, as I said, it has been performing well across zones and across sectors. When it comes to the acquisitions that we have done, as you know, what we basically foresee is that those acquisitions, as they are bolt-on, so that basically means that the cost income after those acquisitions should typically improve. So that's the trend you can take into account. There is not much more I can say about that. So that would be my answers, Delphine.
Operator: We now go to the line of Kiri Vijayarajah of HSBC.
Kirishanthan Vijayarajah: Lars, just starting with the insurance business. You're doing double-digit growth there in revenues and in profits. So my question is really how sustainable do you think that is when -- particularly when interest rates might rise and the investment gains and realizations you're booking there on the bond portfolio maybe start to fade a bit? Secondly, actually still sticking with Insurance, on SBI Life in India, what's your latest thinking there? What's holding you back from maybe selling down further tranches of your stake of what's really a -- you said is a noncore asset for you in India?
Lars Machenil: Kiri, thank you for your questions. If I take SBI Life, I don't recall that we said it's noncore. So it's something that -- we often do joint ventures where we can bring experiences and so forth and grow together. And it's because, let's say, the other party wanted to float a part that we aligned on that one. So there is nothing much more to say on that. On -- generically, on Insurance, let's be very fair. I mean, on Insurance, the way it is presented in the accounts, let's be very fair. Just like on some activities in the bank, one quarter is not necessarily the trend for the full year. So that is what we should look. However, if we look at how the volumes are going and how intrinsically the markets have evolved for them, as I said, it is off to a good start. For the further evolution, we should definitely be in line with what we had in the plan. And so I also invite you to come on August 1 to give you an update on it. So that would be my 2 questions (sic) [ answers ].
Operator: The next in the queue is Omar Fall of Mediobanca.
Omar Fall: Two questions, please. Just -- firstly, just wanted to understand when we would start to see real operating leverage in 2 areas in particular, Personal Finance and auto Domestic Markets. I mean, more broadly, you told us that the cost savings we've seen delivered in CIB this year start to be factored into the rest of the group. But I guess, it hasn't really started this quarter or at least I can't see it. And these 2 areas in particular, seeing very strong revenue growth but extremely sizable investments. So just to give us a sense, more of timing rather than scope of jaws. And then, again, just on auto domestic, Arval is, for you, half the business. Are you not seeing the effects of lower car sales results similar to some of Arval's peers? Or is there something about the fleet that means it's less exposed to the issues around diesel? Anything you can tell us to help us get comfortable on what's a sensitive topic where, sadly, there isn't much disclosure?
Lars Machenil: Omar, thank you for your questions. If I take the operating leverage first. So you asked about PF, so Personal Finance, and you asked about auto Domestic Markets. When we look at Personal Finance, there is one little thing you have to keep in mind. We are slightly shifting the kind of underwriting we do in Personal Finance, shifting towards the better counterparty. That basically means that the top line basically squeezes a bit, but, however, we recuperate on the cost-of-risk line. So if you look at just jaws between top line and cost, you might see some kind of pressure on Personal Finance, which is basically recuperated on the cost-of-risk side. So that is the one thing I would like to say. So if you look at the overall performance and the evolution of Personal Finance, it's intrinsically well, so it's up. Our pretax income is up 5.5%, but there is this dynamic which shouldn't fool you, which, at first glance, might say that the jaws are not positive. But you have to take into account that we position ourselves slightly different on other products and, therefore, are more on secured products and, therefore, have leverage, if I can say, "via the cost of risk." When we look at auto Domestic Markets, auto Domestic Markets, it is true that it's one of the elements where we are investing in digitalization because it is where we believe that steps are to follow rapidly. So there, it is more of the -- on the horizon of more, let's say, next year, 18 months to see these effects. When we stay on the domain of auto Domestic Markets, particularly on Arval, I remind you that Arval for BNP Paribas is a very diversified activity, yes. So when we provide the kind of service, it's not just the service of financing a car. It's a much wider series of services that we provide. On top of that, we are doing this in a very international kind of basis. So maybe you can be concerned of some issue in one country or one city or one brand or whatever, which is, in a diversified setup like ours, very manageable. So from that point of view, that's basically the color I would provide, Omar.
Operator: Next question is over to the line of Flora Benhakoun of Deutsche Bank.
Flora Benhakoun: Yes. The first question I have is regarding the provisions in the division Personal Finance and following on what you were just explaining regarding the change in mix, the negative impact on revenues, the positive on cost of risk. I had in mind that you were guiding for higher provisions under IFRS 9. I think you were guiding for 170 bps from this year onwards. And obviously, it is much lower than that in Q1. So the first question is whether you could comment on the cost of risk in Personal Finance. And the second question is regarding the put option you have with Ageas, which, as I know, you can exercise until the end of this half year. So what's your thinking there?
Lars Machenil: Thank you, Flora, for your 2 questions. So the first one is indeed on Personal Finance. So what we said is with the introduction of IFRS 9, for relatively stable evolutionary businesses, the impact of IFRS 9 should not be that materially different from IAS 39 that we had before, except for businesses that grow rapidly. Why? Because we have to provision at origination those loans. So if you have a lot of origination, that is something that could add, during the period of the ramping up, towards additional cost of risk. And so that is what we've guided for, that we expected, in the first years of IFRS 9, to have a little bit of a pickup. And that's why we said that, although we were gravitating around 150 basis points, we could go towards 170. Now if we look at today, in an environment which -- where there is the interest rates are very low, we still see that the cost of risk is indeed very low. So that is the main thing. So we still believe that, over the cycle, and there will be a pickup, we would gravitate towards 170. But for the moment, it is low, and so let's be very fair. The 170 we guided for, which is more a guidance of what you should see over the plan in 2020, probably, if all remains the way it is, it's much more going to be 150 basis points in the year 2018. On your second question on the put option of Ageas, there is not much I can say. I mean, we are -- as you know, we are very pleased with the way things are going, and so there's nothing more I can add.
Operator: We are now over to the line of Jean-Pierre Lambert of KBW.
Jean-Pierre Lambert: Two questions. The first one is on Italy. If we look at the Italian revenues, there seemed to be a kind of deterioration versus fourth quarter in terms of dynamic, both for NII and fees and commissions. When do you expect some form of stabilization of the revenues in Italy, if you can? Or if you can indicate what kind of dynamics you expect to recover. The second question is in terms of economy in Europe. There's a bit of a debate if there is a slowdown. And are we at a point where it is as good as it gets? Any sign you can see from parameters and metrics in your business that there's a sign of slowdown on your front?
Lars Machenil: Jean-Pierre, thank you for your question. If we look at Italy, in Italy, indeed if you look at -- to look at the P&L, let's look at the balance sheet first. So you see that the volumes particularly on credit side are basically stable even if you look at it. And so basically, in that environment, it is also normal that the margins and the revenues we are making are a bit in line. So the question is, when will we be in a situation where there will be a material pickup in lending demand in Italy? So we are staying present to our clients and the needs that they have, but overall, the growth is still a little bit subdued in the segments we are active. So we'll have to see when that one picks up. So one could assume that there is now -- what we observe is there is some economic growth in Italy, which is forecasted to be around 1.5%. So one would assume that, on the back of that, we would see -- over this coming quarters, we would see that pickup. On your second question on if we see any indicators of European slowdown, as you know, when you look at our results of the first quarter and you look at the growth in several of the areas, you see the strong pickup. As I said, you have the 5% in Belgium, the 7% in France. If you look at our specialized business in Europe, it's a bit the same trend. So in the client segments where we are present, we see the -- a strong pickup in activity, as we mentioned, which led to our solid results. So that will be my answer, Jean-Pierre.
Operator: We now go to the line of Anke Reingen of Royal Bank of Canada.
Anke Reingen: I just wanted to ask if you can help us better understand the FX impact in the quarter. Normally, on your slides on the revenues and costs of the operating divisions, you give an adjusted number at constant scope and exchange rate. And I was just wondering if you can please help us out on the revenues Q1-Q1 and the costs Q1-Q1. And then I just wondered about the investments. I understand you're investing, quite obviously, in line with your strategy for organic growth, but I was wondering, would you say that Q1 is a usually seasonally higher rate in the investments? Or would it be slower relative to the rest of the year?
Lars Machenil: Anke, thank you for your questions. Just clarifying one for me on the second. When you mean investments, you mean investments like in transformation costs or you mean like investments like in M&A?
Anke Reingen: No, more like in the investments for business developments that you mentioned for Domestic Markets. So you think the run rate of this is higher in Q1 than it would be in other quarters?
Lars Machenil: Yes, okay. If we look at forex, so indeed, if there is one thing -- if you look at, for example, the euro versus the dollar or the euro versus the Turkish lira, the euro strengthened quite a lot compared to a year ago. Depending if you look end of quarter, average of quarter and depending on which currency, but it's between 10% and 15% of strengthening that happened. So just imagine that if we would have made exactly the same earnings as a year ago, translating that into euro would basically reduce it by 10% to 15%. So that is why we mentioned that -- the forex effect into the translation of our activities, which are, for example, in dollar or in YTL, in Turkish lira, are a bit subdued by that. And you have to look indeed for them at the constant scope, which is what we do. If we look at our activities, for example, of BancWest or if you look at our Europe-Mediterranean, we do provide the evolutions at constant change (sic) [ exchange ] rate to give you the idea. So that will be that. On the question of -- and maybe one last thing. When we talk about forex, so this is the evolution that we have of the translation of the P&L effects. Of course, the forex also works on the equity. And so that is why -- I mean, if you look at our common equity Tier 1, the impact of evolutions is basically limited, right? So that's the difference between those 2. When I come to your question of your investments, investments, let's say, in overall business development or other elements, there is not necessarily that the first quarter is -- or there is any pattern specific for the quarter. It can be that, if it's a new thing, that costs ramp up a bit in order to roll it out or to strengthen the start-up. But for this quarter, there is -- it's not necessarily that the costs of those investments are materially higher than what you would have otherwise. It is a bit different for the transformation costs, that's why I wanted to ask. So the transformation costs, they clocked in roughly around EUR 200 million for the first quarter, whereas we've guided that, on a run rate, they would be more around EUR 250 million for the quarter. So there, we could expect that it would pick up. So those would be my answers, Anke.
Anke Reingen: And are you able to give us like a specific number like you normally do for the operating divisions? Wouldn't be down 1%, but they would be up X percent at constant currency and -- exchange rates -- constant scope and exchange rate? Or should I follow up later on with Investor Relations?
Lars Machenil: You can follow up. But I can -- if you look at the evolutions quarter-on-quarter for the operating divisions at constant scope and exchange rate, the NBI, so the top line, would be down 1%, and that's basically it. But do reach out to the Investor Relations if you want more detail on other elements, but that is basically the top line figure.
Operator: We now go to the line of Jon Peace of Crédit Suisse.
Karl Peace: Lars, so my first question was just on the equity derivatives business and whether you've seen any negative impact on the business from hedging the volatility in the quarter. And the second question was on the Europe-Mediterranean division. There was quite a large other nonoperating item. And could you just remind us what that was, please?
Lars Machenil: Yes. Jon, thank you. There is nothing particular on equity derivatives to mention. On -- your second question had to do with the income in emerging markets?
Karl Peace: In the Europe-Mediterranean division.
Lars Machenil: Yes, yes. As you know, I mean, our European-Mediterranean division is a constellation of several kind of activities. And in these several kinds of activities, they are sometimes structured in different ways. We are evolving those structuration. So yes, from time to time, we have some contribution which are falling in different lines depending on the way they are. So there is nothing material to be mentioned.
Operator: We now go to the line of Maxence Le Gouvello of Jefferies.
Maxence Le Gouvello du Timat: Two questions on my side. When we had the pleasure to meet you at the time post Q4, you confirmed that you were expecting some corporate loan growth in the range of 5% to 10%. Looking at what you've achieved, it's already 5.9% in the French retail and 6.5% in the corporate. Do you believe that you are more going to stay in that range or closer to the 10% by year-end? And the second element is regarding your capital allocation. The market activities had been shrinking significantly over the quarter. Is it an FX impact or it's going to be structural?
Lars Machenil: Maxence, thank you for your questions. When we look at corporate loan growth, as we said, in the current environment, loan growth is strong. If it continues, the demand, the way it is, it's probably going to be somewhere in the middle of those -- of that range. So it is indeed looking good, and as I said, it is a strong reflection of what we see in the long run. And so as I said, I mean, if you look at it -- if you look, for example, in France, the demand of loan growth is around 7%. So it is indeed probably ticking up towards the higher end of the options. When it comes to your second question, on the capital allocation in Global Markets, I remind you that indeed, on Global Markets, we set out on saying, yes, we embark in following our customers in their needs, but at the same time, we wanted to materially reduce the cost base at which we do that and also materially reduce the capital consumption. And so that is basically what we've been doing. I remind you that some of the activities that we had were dating from pre the Basel III regulation. And when Basel III came along, the capital requirement was stepped up in a very material way. And that's the kind of business we basically stepped out of, which we have been announcing that, for several billions we would reduce that, and that is what we have been doing. And so that is why, overall, indeed, if you look at CIB, the return on this equity is basically, as I said, above 18%, even though there is some pressure on the top line, but we recuperated on the costs and we recuperated on the positioning of the type of businesses that we do and, therefore, the capital allocation. So it's one of the things we focused on in Global Markets.
Maxence Le Gouvello du Timat: Okay. Can I ask one last question?
Lars Machenil: Sure.
Maxence Le Gouvello du Timat: Just how have you been able to manage your dollar funding through the LIBOR-OIS crisis? Has it been an issue for you? Or can you give us a bit more color because there seemed to have been some difficulties from some Swiss bank?
Lars Machenil: Yes. No, let's not forget that we are -- I was going to say we are a French bank, but you know that my story is that we are an international bank. But if you look at our activity in the U.S., we're actually very balanced. Let's not forget that we have -- just like we have in France, in Belgium, in Italy, we have a diversified set of activities, from Retail Banking through BancWest and then we also have Corporate and Institutional Banking that we are active in. And so that basically means that we have all the activities, just like we have in all the other countries that generate the deposits, that generate the loans and that generate an equilibrate  growth for the activities. So for us, not really an issue.
Operator: Our next question is over to line of Tarik El Mejjad at Bank of America Merrill Lynch.
Tarik El Mejjad: Just one question actually. On the digital bank and Hello bank!, I mean, can you tell us -- give us a bit of color on how competition was since October, November when Orange Bank launched Revolut and other neobanks ramped up their activity in France? Clearly, you showed that actually you had 110,000 new clients in Q1. That's very strong, but can you just give us like a bit of the environment and competitive -- the competitive environment, sorry?
Lars Machenil: Sure. Thank you, Tarik. Now as you know, what we are doing, we're basically focusing on providing value-added digital kind of services. So this is what we do with Hello bank!. It's not -- we don't come in with one product, we basically provide the full banking service and digital. And as you said, basically, we've attracted 110,000 new clients. And the same is true, for example, if we take LyfPay. LyfPay where -- it sounds like pay and people can think of it as a payment system, but it is much more than that. It's a value-added system where we basically manage coupons, where we [ do analysis with budget cards ] and so forth and that we've added an agreement with a casino, for example, in France, which will add another 500 distribution points where this value-added can be distributed. So that is the key focus that we do, yes. So we're providing the full value-add of the banking services. And even when we go in specific items, even there, we're really focused on the value-added. So that is what we keep on doing. And we see that the pickup by clients and future clients is very strong.
Operator: There's currently 2 questions. I'll send you over to the first one, which is Lorraine Quoirez of UBS.
Lorraine Quoirez: Lars, I have a question regarding Belgium. I thought the revenue actually are holding quite well, particularly the net interest income, and that despite the low interest rate environment. And you did show that the loan growth was actually quite strong and supportive, but was just wondering whether there was like anything else in there, like hedging gains or something and whether you expect the trends we are seeing now to actually sustain this year. My next question will be on First Hawaiian Bank. I was wondering whether it's more like the de-consolidation is more something that would be a next year story rather than this year's story.
Lars Machenil: Lorraine, thank you for your question. So if we look in Belgium, as I said -- I mean, if you look at the driver for evolution of growth, you see that loans are picking up by 5%, which is fine. And indeed, we are in an environment of loan interest rates -- low interest rates, and so this basically means that one has to reprice. As we said before, we basically come to the end of the repricing on the deposit, so we have to reprice on the other side. Now the other side, it takes more time. When you reprice deposits, you reprice the stock. And when you reprice loans, you don't reprice the stock. So that is where -- this is the thing we keep on doing. We've been doing this now for several quarters. We'll see how that evolves. When it comes to First Hawaiian, as we said, we are not in a rush. So you will see when these things evolve. So we are not in a particular rush. We'll see how market evolves, how things evolve, how demand evolves and we'll act accordingly. So that would be my answer for you.
Operator: Our final question is from the line of Pierre Chedeville of CM-CIC Market Solutions.
Pierre Chedeville: Just 2 quick questions. First question is regarding Slide 31, where you mentioned, regarding Asset Management, specific project of transformation. Could you remind me exactly what you mean there? And what would be the impact of this specific project on the costs in this division? And regarding the Insurance business, could you give us, maybe you gave it but I didn't see, the part of unit linked in the commercial development this quarter in order to compare with peers?
Lars Machenil: Pierre, thank you for your questions. When it came to the transformation in Asset Management, it's a project called Aladdin. So it's one of the things when we [indiscernible] with BlackRock. And so that's basically the change that we've announced. Could you repeat your question on Insurance, on unit linked? What -- I didn't fully grasp your question.
Pierre Chedeville: What is the part of unit linked regarding the sales of general account savings? In your production, for EUR 100 of savings, how much is related to unit-linked product?
Lars Machenil: Yes. The big bulk, it's around 80%.
Pierre Chedeville: 80%? That is not possible.
Lars Machenil: Unit linked, that is what you asked, right?
Pierre Chedeville: Yes.
Lars Machenil: Net inflows, right? That's what you basically asked for, right?
Pierre Chedeville: Yes, yes. 80%?
Lars Machenil: Yes, sorry to surprise you.
Pierre Chedeville: No, no. It's very -- it means that you mainly sell unit-linked products this quarter.
Lars Machenil: Yes. That will be my answers.
Operator: We have a final question, and that's over the line of Alex Koagne of Natixis.
Alex Koagne: Sorry, my question has been answered. Sorry for that.
Operator: In that case, I'm pleased to pass the call back to you for any closing comments at this stage.
Lars Machenil: Thank you. So all of you, thanks again for the time you spent with me. And I would just repeat, the main message is that you've seen the business growth in the context of economic recovery in Europe. We continue to strengthen our commercial positions. We have a solid top line of EUR 1.6 billion. We keep on rolling out new [indiscernible]. And the first quarter of 2018 is fully in line with the trajectory of ramping up towards our 2020 objectives. So with that, I thank you very much, and wish you a very good day.
Operator: This now concludes today's call. So thank you all very much for attending, and you may now disconnect your lines.